Operator: Thank you for joining Packaging Corporation of America's First Quarter 2023 Earnings Results Conference Call. Your host today will be Mark Kowlzan, Chairman and Chief Executive Officer of PCA. Upon conclusion of his narrative, there will be a question-and-answer session. Please also note today's event is being recorded. At this time, I'd like to turn the conference call over to Mr. Kowlzan. Please proceed when you are ready.
Mark Kowlzan: Thank you, Jamie. Good morning, and thank you for participating in Packaging Corporation of America's First Quarter 2023 Earnings Release Conference Call. Again, I'm Mark Kowlzan, Chairman and CEO of PCA. And with me on the call today is Tom Hassfurther, Executive Vice President, who runs the Packaging business; and Bob Mundy, our Chief Financial Officer. As usual, I'll begin the call with an overview of our first quarter results. And then I'll turn the call over to Tom and Bob will provide further details. And then I'll wrap things up, and we'd be glad to take questions. Yesterday, we reported first quarter net income of $190 million or $2.11 per share. Excluding special items, first quarter 2023, net income was $198 million or $2.20 per share compared to the first quarter of 2022 net income of $256 million or $2.72 per share. First quarter net sales were $2 billion in 2023 and $2.1 billion in 2022. The Total company EBITDA for the first quarter, excluding special items, was $405 million in 2023 and $467 million in 2022. The First quarter net income included special items expenses of $0.09 per share, primarily; for the closure costs related to corrugated products facilities and design centers. Details of special items for both the first quarter of 2023 and 2022 were included in the schedules that accompanied our earnings press release. Excluding the special items, the $0.52 per share decrease in first quarter 2023 earnings compared to the first quarter of 2022 was driven primarily by lower volumes in our Packaging segment for $0.95, and Paper segment $0.04. Although recycled fiber costs were lower than last year. Overall operating costs were 27% -- $0.27 higher, primarily due to inflation on chemicals, labor and benefits, supplies, repair materials and services. Energy costs, although trending down, were also higher versus the first quarter of 2022. In addition, we had higher depreciation expense of $0.11, freight and logistics expenses, $0.04; nonoperating pension expenses, $0.04; and higher converting costs, $0.02. These items were partially offset by higher prices and mix in the Packaging segment for $0.58 and Paper segment $0.18. A lower share count resulting from share repurchases we made in the second quarter of 2022 for $0.11, lower interest expense, $0.03; lower other expenses for $0.03, lower scheduled maintenance outage expenses for $0.01, and lower tax rate, $0.01. The results were $0.03 below the first quarter guidance of $2.23 and per share, primarily due to the lower volume and lower prices and mix in the Packaging segment. Looking at our Packaging segment. EBITDA, excluding special items in the first quarter 2023, of $392 million with sales of $1.81 billion resulted in a margin of 21.7% versus last year's EBITDA of $464 million and sales of $1.96 billion or 23.6% margin. Demand in the Packaging segment was well below our expectations for the quarter. Tom will discuss this further in a moment. The mills and corrugated products plants responded to the lower demand by remaining highly focused on efficient and cost-effective operations as we balanced our supply accordingly. Our employees continue to deliver on numerous cost reduction initiatives, efficiency improvements, integration and optimization enhancements and capital project benefits to not only minimize the negative demand impacts on the short term but also to remain in position to capitalize on our longer-term strategic goals. The accomplishments were achieved while building less inventory than we had planned and staying committed to ending the quarter at our targeted weeks of supply inventory. I'll now turn it over to Tom, who will provide further details on containerboard sales and the corrugated business.
Thomas Hassfurther: Thanks, Mark. Domestic containerboard and corrugated products prices and mix were $0.64 per share above the first quarter of 2022 and were down $0.50 per share compared to the fourth quarter of 2022. Export Containerboard prices were down $0.06 per share versus last year's first quarter and down $0.04 per share compared to the fourth quarter of 2022. Corrugated product shipments were down 12.7% in total and per workday compared to last year's first quarter. Outside sales volume of containerboard was 69,000 tons below last year's first quarter and 33,000 tons above the fourth quarter of 2022. With the first quarter of 2022 setting a shipments per workday record as well as being our all-time record for total shipments, we knew this would be a tough comparison period. However, that being said, the lower demand in our Packaging segment that Mark spoke of was driven by several items, the combined impact of which resulted in our volumes being much lower than we anticipated. As we mentioned on last quarter's earnings call, it was difficult to predict the demand curve given the numerous variables with varying degrees of impact. As noted in our earnings release yesterday, the shift of consumer buying preferences more towards service-oriented spending, persistent inflation and higher interest rates continue to negatively impact consumers' purchases of both durable and nondurable goods. In addition, there is a varying degree of inventory destocking across our customer bases, both in boxes and our customers' products. The inventory destocking situation has been a longer-term issue than we originally anticipated. The manufacturing index has remained in contraction territory for several months now. And as you know, we have a large presence in the ag business in the Pacific Northwest and also down in Florida, where both of these regions have been dealing with significant weather events. As we look to the second quarter, we expect the inventory destocking of both customer product and boxes to be near completion. We expect to see recovery in our ag business and we have received some positive feedback from our customers regarding improvements in their business. Our April volume, as we see it today supports that position. I'd also like to point out that the capital spending and optimization strategy within our box plant system that we have been focused on over the last few years continues to remain one of our top priorities. The current demand trends will not cause us to lose our focus in this area. The investments from this strategy provide the products and service needs that our customers desire and allows them to grow while focusing on the mix of customers, we want to profitably grow our revenues with. I'll now turn it back to Mark.
Mark Kowlzan: Thanks, Tom. Looking at our Paper segment. EBITDA, excluding special items in the first quarter was $41 million with sales of $151 million or a 27.2% margin, compared to the first quarter of 2022 EBITDA of $29 million and sales of $153 million or an 18.9% margin. Paper prices and mix were 18% higher than last year's first quarter and about 3% above for the fourth quarter of 2022. Sales volume was about 17% below last year's first quarter which included some of the inventory that had been sold from our Jackson Alabama mill and just over 4.5% below the fourth quarter of 2022. The efforts of our employees to optimize the cost structure inventory and product mix in our paper business helped minimize the inflationary cost increases compared to last year and delivered solid returns for the quarter. I'll now turn it over to Bob.
Robert Mundy: Thanks, Mark. For the first quarter, we generated cash from operations of $280 million and free cash flow of $168 million. Fee cash payments during the quarter included capital expenditures of $112 million and common stock dividends of $112 million. We ended the quarter with $520 million of cash on hand, including marketable securities. I want to update you on a revision to the scheduled mill maintenance outage guidance we provided on last quarter's call. Current plans and the scope of work for the scheduled maintenance outages at our containerboard mills has changed, resulting in a revised total company estimated cost impact for the year of $0.75 per share versus the $0.67 per share we mentioned previously. The actual impact in the first quarter was $0.13 per share. And the revised estimate impact by quarter for the remainder of the year is now $0.18 per share in the second quarter, $0.24 in the third and $0.20 per share in the fourth quarter. I'll now turn it back over to Mark.
Mark Kowlzan: Thanks, Bob. Looking ahead, as we move from the first and into the second quarter, although there is one less shipping day for the corrugated business, we expect improved volume in our Packaging segment. However, prices will be lower as a result of the previously published domestic containerboard price decreases along with lower export prices. Sales volume as well as prices and mix in the Paper segment are assumed to be slightly lower based on lower demand. Although we do look for most operating costs to trend lower, our converting costs, scheduled maintenance outage expense and depreciation expense will be higher, primarily due to recent increases in contract rail rates at most of our mills, we expect higher freight and logistics expenses compared to the first quarter. Considering these items, we expect second quarter earnings of $1.96 per share. With that, we'd be happy to entertain any questions, but I must remind you that some of the statements we've made on the call constituted forward-looking statements. The statements were based on current estimates, expectations and projections of the company and involve inherent risks and uncertainties, including the direction of the economy and those identified as risk factors in the annual report on Form 10-K on file with the SEC. The actual results could differ materially from those expressed in these forward-looking statements. And with that, Jamie, I'd like to open the call up for questions, please.
Operator: [Operator Instructions]. Our first question today comes from George Staphos from Bank of America Securities.
George Staphos: Thanks for the details. Mark, a question for you. Normally 2Q is up sequentially from 1Q. And when we look back historically over time, the only time that we saw a down 2Q, if we're correct, was the COVID second quarter, even if we went back to the, the great recession in '08 and '09, you had up 2Q versus 1Q. As you sit here today and if you're in our seat, what is the biggest driver of the drop off 2Q versus 1Q. Is it the timing effect on the pricing and just how that's flowing through? Or is it the demand affect the continued demand effect being worse than expected. If you could give us some qualitative comments on that, that would be helpful. And then a couple of follow-ons.
Mark Kowlzan: Yes, George, let me start that out. I think, again, if you look at the November, December and February, price decreases, and how they've rolled in.  I think in the past 20-plus years, we only had 1 or 2 incidents of this kind of timing of price decreases. But Bob can give you some real detailed color on how that's impacting, but that's pretty much what's happening.
Robert Mundy: You're right, Mark. And in the magnitude, that $70, George, the timing of that, as you look at going from 1Q to 2Q, it's just -- that's unprecedented in the company's history. And we mentioned on last quarter's call that the vast majority of those price declines would show up in the second quarter. And that's exactly what's happening. So it's sort of an unprecedented drop in price just based on the timing of the published decreases is really what's driving that. And that's pretty much the answer.
George Staphos: Understood. And I appreciate the color there. Could you give us a sense for how much demand might have been off relative to your prior expectations and what the bookings and billings look like early in 2Q?
Mark Kowlzan: Yes. Tom, why don't you go ahead and take a...
Thomas Hassfurther: Yes, George. Let me give you a little -- let me give you color on that. If you recall on our call last quarter, we were starting out in January pretty decent in the bookings. And as the quarter rolled on, I mean, it just got a little bit weaker each month. So that was disappointing. And of course, what I told you back then was it was impossible to predict what was happening in the destocking and what was really happening in terms of consumer demand. And if you look all those indicators, whether it was consumer demand or the manufacturing index, the Purchasing Managers Index they all really kind of got more negative as the months went on and correlated exactly with kind of what the volume situation was. The good news is, is that there's been a big turnaround starting in April. And so we've got a good look 13 days into the month. And our bookings right now just over March alone are up 11%, and they're up 10% over the first quarter. Still down 6% compared to April of '22, but April of '22 was our all-time record. So just to calibrate everybody, the volume continued to increase significantly because of COVID all the way through April and then finally started to turn the other way. So we've still got that really tough comp coming in the month of April. But given the fact that we're double digits ahead of where we are in March is a huge improvement. And it's across all of the sectors. Now we've still got some laggards in there. If you talk home improvement or you talk home building or some of these other areas, but the other big plus for us is that we suffered badly in that first quarter in that ag business as we alluded to, down in Florida from the hurricanes. In Northern California from the significant rain and flooding that they had, and of course, in the Pacific Northwest because of the cold weather. And that's coming back as well. So I think that we've got some -- I think we're towards the end of that big problem relative to the volume situation.
George Staphos: Last quick one, I'll turn it over. Just from an operations standpoint. Can you talk a little bit about the facility closures, kind of what they're allowing or optimizing for PCA. And given the shift in recycled cost versus virgin cost, this question comes up periodically on your calls. How are you flexing your system relative to lower-cost recycled and lower-cost recycled board, recognizing your customers ultimately dictate what kind of box they want that ultimately dictates the Board. I'll let it go there.
Thomas Hassfurther: Okay. Thanks, George. Yes, relative to the plant and the design center closure that we announced in the first quarter, that is typical of the evaluation that we do of our footprint at all times, and it's part of our capital planning process. So these are not knee-jerk reactions to let's just say, volume demand change or anything like that. These are all part of our capital planning process where we're trying to optimize our system. Of course, we've made acquisitions over the years and other things like that. So we do have -- we do have some duplicity in some of the markets that we want to fix. And so it's been a continuous process that we've been doing this. Relative to the recycled versus virgin what PCA has been, and I've said this before, what we have been focused on for years now in our mill system is to be able to match the -- just the right amount of fiber to the performance that's necessary in the marketplace. And some of those proprietary products and some of the things that we've done in our mill system has served us incredibly well in the marketplace and is ultimately even more competitive than recycled than most of those in virtually all of those markets. So I'm very, very pleased with what we've been able to do in the mill system. It's been an outstanding performance by all of our people. And we've talked about our engineering expertise. We've talked about our paper tech expertise, and that's provided us. And of course, the flexibility we have in these mills, and we will flex back and forth, obviously, with OCC to the degree we can when the prices of a nature that, that makes the most sense.
Operator: Our next question comes from Mark Weintraub from Seaport Research Partners.
Mark Weintraub: Good to hear that demand looking better in April, but I did want to follow up a little bit on George's question, and I realize it's a bit of an overlap. But in the third quarter and the fourth quarter as well, your year-over-year box shipments were a bit below the industry. And we don't have the industry data yet, we'll get that, I guess, on Friday. But certainly, the 12.7% was surprised us to the downside and you guys as well. As if you look back over the last 6 months or so, any thoughts as to why you might have been showing reduced market share, recognizing that over time, you've actually outgrown the industry very substantially and very profitably. And whether it's this ag business? Or what are you coming up with in terms as to what might have been going on with your book of business?
Mark Kowlzan: Yes. Mark, just remember back in 2008 into the 2009 period, we saw a more rapid downturn in volume than our competitors. And then when we started seeing the improvement in the spring, we came back stronger and faster than our competitors. And I believe most of that has to do with the predominantly local book specialized local accounts, smaller local account business that we have. These accounts are much more tuned into what's happening with their own business. They can move very quickly. They're very nimble. But I'm going to let Tom elaborate on that because, again, it's not as simple as it seems.
Thomas Hassfurther: Yes, Mark. I think that the -- one of the things that I think is really important is, number 1 is we haven't lost any volume. So we're not losing any market share. That's not taking place. But if you think about the thing that we've talked about many times and we take great pride in is the broad base of business that we have and the broad base of sectors that we deal across. Now in this particular -- during COVID, we had some of those sectors were up as much as 200%. And once COVID ended, of course, those are going to be down significantly. So it just depends on the sector. And that's why we've had to sort through this volume situation a little longer than what we would have hoped. But -- you do have a lot of these -- some of these various sectors are down significantly. Some of them have stayed level, some of them are up slightly. But for the most part, that's the biggest factor. The other thing that we did during COVID is we had to run a lot of business that we could not get supplied from the outside, which we traditionally would have done. And we now have that business placed back on the outside again. So even though we keep the revenue and we keep the income, it's a drag on our volume. And that's just kind of funny math, if you will, based on the way it has to be reported to the FBA, but that's another factor that's affecting us. Does that help?
Mark Weintraub: It does. Just 2 quick follow-ups. One is you mentioned not lost volume -- were you basically think you haven't lost customers, obviously, your volumes are down?
Thomas Hassfurther: We haven't lost any customers in terms of what you would call market share in terms of customers or things like that. Obviously, our volume is down. But it's down. We haven't lost any share within those accounts or anything like that. It's just that some of that broad-based business, some of those sectors are down significantly. And as I mentioned, we've never had a period where we got hit with ag getting hit like it did in the regions where we have big footprints all at the same time.
Mark Weintraub: Got it. And then just maybe a little bit of clarification. Why would you -- given that demand has been weak and you certainly have the capability to have fulfilled needs, which maybe were being fulfilled from the outside and now apparently, you're fulfilling from the outside. I guess I'm a little puzzled why you would, given you've got plenty of capability, I would think, to meet it internally or maybe I don't understand exactly.
Thomas Hassfurther: Well, the reason is because we have to produce that at a much higher cost than we can get done on the outside. And so it doesn't make sense for us to do that. But in order to take care of our customers, we opted to do it at a much higher cost point. So that's why we're doing it. And of course, we want to maintain the -- run our plants as efficiently as we possibly can. So it's just from a cost standpoint makes the most sense.
Operator: Our next question comes from Phil Ng from Jefferies.
Unidentified Analyst: This is John on for Phil. Appreciate all the details. And I want to first start off asking how much economic downtime you guys took in 1Q given the last couple of quarters, you've called that out, and it's been a bit outsized. Is that something you can quantify? And maybe how can we think about trends for that in 2Q with some of the demand starting to normalize?
Robert Mundy: Yes. It was about 110,000 tons in the first quarter.
Unidentified Analyst: Okay. And any insights on how to think about 2Q?
Mark Kowlzan: No. We just -- as we've always done, we're just going to run to demand and do what we've got to do to satisfy our customer base. If you go back and look at the first quarter, when we were in the January period of time, anticipated volume was starting to settle down and improve. We anticipated going through our winter spring annual shutdowns that would have greater need. So our plan was to build a little more inventory. As a matter of fact, I think the number was about 30,000 tons more inventory through the first quarter that we ended the year last year. But in fact, as we saw the deteriorating volume in -- especially in February and March, we certainly didn't need that extra volume. So we trimmed back and scaled back operations and only ended up 6,000 tons at the end of 1Q as opposed to where we thought it would be. So again, we'll just continue running to demand.
Unidentified Analyst: Okay. That's helpful. And then I just wanted to pivot over to the cost side. You guys have done a very good job taking out cost in the system. But in terms of the guidance. Just a couple of questions. First, I want to get a better understanding of what's driving the higher converting costs. Is that maybe more on the labor side? And then on the rail rate increases. Is that something that you can maybe give us a little bit better understanding of the structure of those contracts? Like how long those rates will kind of be in place when they get renegotiated? How much maybe it was weighing on 1Q and going into 2Q? Just to give us some better tools to forecast the models have.
Robert Mundy: Yes, John, it's Bob. As far as on the rail rate increases, most of that is -- some of it occurred during the first quarter, and then we had some that just started at the beginning of the second. So it's a large impact as you move from 1Q to 2Q because you'll have all of those pretty much higher as we start the second quarter. So that's what's driving the freight cost higher. I'm sorry, your first question was.
Unidentified Analyst: I guess, just to stay on that for a second, are those contracted rates for the next year, the next couple of years?
Robert Mundy: Yes, typically. Typically, that's probably a good way to think about it.
Unidentified Analyst: And the first question was around the converting costs and what's driving higher converting costs.
Robert Mundy: Yes, really labor benefits, obviously, with just -- that's just -- that's part of it. The other is really at starch. Starch prices are just skyrocketed and that is something that we had another big increase this year. And as we expect to -- our volume to start improving in the box plants and so forth, and you're using more of those types of things. And so that's what's driving labor and some of your some of your material costs that are also included in that converting number.
Unidentified Analyst: Is the starch starting to turn over? Or is it still..
Robert Mundy: No. No, it's not.
Unidentified Analyst: All right, I appreciate the insight, thank you all.
Mark Kowlzan: Thank you. Next question.
Operator: [Operator Instructions]. Our next question comes from Anthony Pettinari from Citi.
Anthony Pettinari: Kraft liner prices have been stable for a couple of months now. And understanding you don't sell much board in the open market, and I'm not asking about forward pricing. But I'm just wondering if you had any thoughts about kind of where containerboard markets kind of feel like they are right now.  I mean, you've seen a number of cycles maybe some of these capacity projects have started up and maybe are being sort of absorbed. I just wanted to get your sense of containerboard markets versus maybe where we were a few months ago?
Thomas Hassfurther: Anthony, this is Tom. I'll take this one. Yes, prices have stabilized. There's no question about it. In fact, I can make an argument that there hasn't been -- there really hasn't been a whole lot of activity relative to price in the past. And I'm not a predictor of price going forward, but I can just tell you that I think the outlook is more positive.  Of course, you've seen the industry really adjust dramatically to demand. And as I've said many times, I mean, the open market is a small open market today. So those that have excess capacity are either taking the downtime or they're looking to export markets to try to figure out how to sell into those markets. Which are also under some duress. But I think that the -- I think the market in general is different than the past, given the small open market that we have today. And I think that leads towards much more stability.
Anthony Pettinari: Got it. Got it. That's helpful. And then just -- I wonder if you could talk a little bit, given the balance sheet flexibility that you have about capital allocation, and from a capital return perspective, I mean, you're paying an attractive dividend. I don't know if you can talk about maybe opportunities for repurchases. And then in terms of investing in the business, you're coming off maybe a big CapEx cycle where you're doing a lot of internal projects. Just wondering if you could kind of talk about where you're seeing the opportunities in capital allocation and capital return this year.
Mark Kowlzan: Yes, nothing's changed. As we've talked about for the last year, our plans were to bring capital down this year, and we're in that $400 million range. And I would anticipate that working through into next year. Also, we've done most of the big projects that we could foresee in the mills, and we're just going to continue with the box plant optimization. As far as utilization of cash in terms of other opportunities like dividends, share repurchases, acquisitions. We'll remain flexible on any and all opportunities in that regard as we go forward. As we've done for many, many years, now, we've got that flexibility to take advantage of all of these opportunities as they present themselves. And that's how we look at it day to day.
Operator: Our next question is a follow-up from George Staphos from Bank of America Securities.
George Staphos: Actually, Anthony took my next question. So I will turn it over to the next person.
Operator: [Operator Instructions]. Our next question is also a follow-up from Mark Weintraub from Seaport Research Partners.
Mark Weintraub: I was thinking a little bit about how -- I believe your volumes ended up being down about twice what you had anticipated back in January. I think you'd been talking about flat average day and so it would have been like 6% or 7% down and you ended up down 12.7%. Is it fair to -- therefore, if you talked about the negative impact year-over-year on volumes being about $0.95.  So if I just took half of that, had you -- was that the incremental negative impact from the additional demand weakness that you experienced so that had, in fact, the volumes come through as you anticipated. In theory, you might have been closer to $2.70, particularly if we add the fact that you had the pricing down by $20 in February, which would have had some small impact. And then if that is the case and everybody maybe that math doesn't work. But if that was the case, that's a huge difference from sort of the $2.23, and presumably that relates to all the operating adjustments that you had made.  I'm sort of just trying to get a sense as to whether that's something you couldn't hang on to or those were measures taken because of what was going on in the business? And maybe a little bit less certain types of spend that you could defer. So sort of just trying to get a sense of that underlying earnings power in a future type of environment.
Robert Mundy: Yes. Mark, this is Bob. So there's a lot going on there. If you're saying if our volumes were higher, it were closer to what we had anticipated, you're looking at that $0.95 being something a lot larger?
Mark Weintraub: Well, I believe you had stated during the January call that you were looking for average daily box shipments to be flat in -- sequentially, which would have suggested about down 6.5% rather than the down 12.7%. And -- so basically, I'm saying, well, does that mean that instead of being a $0.95 negative hit, it would have been about half of that, like a $0.47 negative hit.
Robert Mundy: That volume is -- it's not just box shipments, right? It's -- there's export volume, there's trade, there's domestic outside volume. So that would not be a good way to look at it. However, directionally, yes, it would be a higher number. But you would also have a lot better probably cost within your system because your mills would be running more full. Your box plants would be running more full. So you're converting costs, your direct variable costs, all those types of things, your unabsorbed costs would not be as high would more than offset any additional decline that you would see in that price variance, if that makes sense, because of higher volumes.
Mark Weintraub: It does, but it sort of comes back to the point that you're only $0.03 off what your guidance had been.
Robert Mundy: Yes. And if you want to look at it sort of simply the published price dropped $20 a ton after we gave our guidance. And if you sort of do the math, on that. And as we said before, when that price -- the published price drops, it pretty much hits our outside containerboard immediately. There's no delay. So if you sort of do the math, there's about $0.03 just from that price decline that occurred after we gave our guidance.
Mark Weintraub: Right. And so what I'm trying to get to is if we get this sort of rebound in demand and what it would seem that our -- the bounce back in earnings could be very dramatic relative to sort of that $2.23 type of run rate you had suggested in a down.
Mark Kowlzan: Absolutely, Mark. Absolutely. That's what we would anticipate.
Mark Weintraub: Okay. I apologize for the fairly convoluted questioning here. But thank you.
Operator: Our next question is also a follow-up from Phil Ng from Jefferies.
Unidentified Analyst: This is john again. I appreciate you taking the follow-up. I just wanted to quickly shift over to the paper segment. Demand was a bit lower than we had expected. Just kind of looking to get some insights on how the paper segment volumes are trending. It looks like maybe this next quarter where we should see another down double-digit type of volume year-over-year. Just kind of what's going on and maybe what are the main factors impacting demand on the paper side.
Mark Kowlzan: Again, as we spoke last year that we -- our paper business now has become just the International Falls mill up in Minnesota, and that mill is capable of a little over 500,000 tons a year. And that's pretty much what we're selling too. We're down slightly off of that peak capability. But what that allows us to do really is just run and optimize the market and where we choose to sell and where we want to sell to maximize profit. So we really have the luxury of being the fourth largest player and we don't have to do anything. I say we're in a real sweet spot right now, down just a few thousand tons off of where we were last year. Any other questions, please?
Operator: And our final question comes from George Staphos. Once again, a follow-up from Bank of America Securities. George?
George Staphos: Sorry, you've got a technical issue here. So I just want to reaffirm the guidance on the paper segment is for pricing and volume to be down slightly sequentially. Was that the comment, Mark? And Tom -- and Bob? Thanks very much and good luck in the quarter.
Robert Mundy: Yes, George. That's correct.
George Staphos: Excellent, thanks guys, good luck in the quarter.
Mark Kowlzan: Thank you George.
Operator: Mr. Kowlzan, I see no more questions at this time. Do you have any closing comments?
Mark Kowlzan: Thank you, everybody, for joining us on the call today, and appreciate your time, and we look forward to talking with you in July and covering the second quarter earnings results. Have a nice day. Thank you.
Operator: And ladies and gentlemen, that will conclude today's conference call and presentation. We do thank you for joining. You may now disconnect your lines.